Santiago Donato: Good afternoon, everyone. I'm Santiago Donato, Investor Relations Officer of Cresud, and I welcome you to the third quarter of fiscal year 2025 results conference call. First of all, I would like to remind you that a replay of this webinar, the presentation and the earnings release will be available on our website at www.cresud.com.ar. After management remarks, there will be a question-and-answer session for analysts and investors. [Operator Instructions] Before we begin, I would like to remind you that this call is being recorded, and the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO.
Alejandro Elsztain: Good afternoon, everybody. Let's begin in Page #2, the main events for the third quarter of this year. And we are in a good campaign, I would say, comparing to last year, it's a bigger campaign. It's bigger planted area comparing. And the main reason was the more listings on the region in Argentina and in Brazil, and we expect to keep growing in leasing for next year, too. Related to climate, there was an average good climate in the region. The only part that didn't receive good rain was mainly Argentina in the North and Paraguay. Paraguay, as Argentina suffered some drought on the summer, and that impacted the yields on the summer crops. In the rest were generally good weather conditions. Related to the commodity prices and the input costs, we are seeing a stable -- I would say, stable price time of the -- mainly in the soybean, some rebound in the corn, I will show you later. And the cost was stable, too, and we are expecting a reduce in the next campaign on costs. We have seen something that is very important to Argentina that is the removal of capital controls that is reducing the gap of the $2 that we had in the past, and we are going to see what important is the impact for the future for the Argentine results. Related to BrasilAgro, we are being in the middle of good productive results, mainly in sugarcane that has much better yield and prices of last year.  And the rest of the crop, better in corn but worse mainly in soybeans and cotton. And related to real estate in the first 9 months, we are seeing only in the first quarter sales that there were small sales in Los Pozos and Alto Taquari in Brazil but recently, in the last quarter, we didn't reflect any sale. But we are expecting for the next quarter, next -- before the end of the year. We can move now to Page #3. And here, the evolution on planted area in the country's comparison, Argentina still seeing the biggest of the region. Brazil keep growing, mainly leasing, as I said, Bolivia and Paraguay and the breakdown of soybean 50%, 24% of corn, 9% of sugarcane. Sugarcane with this 27,000 hectares is really relevant in the time of the yields and the results and wheat and others. If you can move to the next page we can see in Page #4, the recovery on the commodities and the input recovery and cost correction. Here, we see in the evolution of soybean, prices of today are comparable to before COVID and adjusted by inflation are worse than before COVID. If you adjust prices of inflation, today, what is at 10, in the past was more than 11. So we are below that. But these days, we are seeing some beginning of the rebound on the price of the soybeans. And we can speak about what happened this weekend between China and U.S. and this is impacting the prices for commodities for sure. We are seeing because of 2 reasons. One is the tax reduction of the tariffs went to 10% of China. And this is going to make, again, Chicago more relevant. And we are seeing today that rebound and the bases are going to be affected too bases of South America that very, very high are decreasing these days because of the more important price of Chicago again, more trading for the future related to U.S. So -- but generally speaking, I think the impact of the weekend is going to affect oil and the oil is very, very correlated to the commodities and oil probably is affected because of there are not more recession expecting for world. The world was expecting a big reduction on sales on the oil trading and probably after this weekend is going normalizing the markets of the world and probably affecting commodity prices and probably what I expect is rebound on commodities but less paces on South America than they were. And in corn, there was a rebound through this year, and we are seeing a better yield and better margin to corn in South America because of this comp rebound of 28% of the last year. So generally speaking, a better environment for commodities for the campaign. We can now move to next page in Page #5. And here, we can see the evolution on capital controls and FX convergence. I think this is the more relevant move for Argentina. And if I would have to speak about taxes on exports and caps on the dollars, I think it's more important the second. And the government announced a few days ago, that there is -- for the future, it's close to 0 the gap, today is 2%, 3% but the official dollar is close to 0 to the blue chip in Argentina. At least for farmers and always is good example where at the price of $500 in the U.S., it was the soybean in the times of $17 per bushel, the price of the U.S. was $500, at the farmer at that time in the combination of the 33% taxes on exports and the gap of the dollars was collecting 170. Today, the farmer of Argentina is collecting 270 for next campaign, the price at 290. So we are adjusting to the prices of U.S. today, the gap is 36%. Taxes on networks are reflecting 36% and the gap is close to 0. So this is very relevant to the prices of the commodities in Argentina and to the prices of the land of Argentina. If we move to next page, Page #6, we see the climate conditions. The Argentina today is in a very good shape today for the winter, for next winter, we are going to plant everywhere because there was a big recovery in the humidity on the land in all the corn bed of Argentina but we suffered some droughts and distance of rates between the summertime in mainly the soybean and corn time, and we are seeing in some regions some losses that we have like more than 50% of the crop and that affected a lot the yields of Salta and Paraguay. We are now in the middle of the harvest time. Brazil finished but Argentina is in the 38,  Bolivia 78 Paraguay just 12 but we see some damage, and we are forecasting that much mainly these 2 places, north of Argentina and Paraguay, affecting the 2 main crops, soybean and corn. So when we are forecasting, we are affecting yields on these 2. So the agriculture season is not the best as expected because these 2 effects. The rest is almost normal. So we are expecting a more normal agriculture year, very good in sugarcane, some good in corn but less good in soybeans and cotton. And in wheat that we finished, was good campaign but not so good at last year. And if we move to next page, you can see what I'm saying. We are expecting a growth year-to-year, a forecast of increasing 23% yields in the region between Argentina and the region. So a big impact. Remember, we were growing inside not so much. And the rest is because recovery of the yields more normal climate. And sugarcane too, an increase in the region in the yield and pricing sugarcane. So we see that the evolution -- operational evolution, there are some very good news related to sugarcane and the rest more mix between what I said. And we see the crop yields that we are expecting. Argentina is expecting a 2% increase, Brazil a 1% decrease in the soybeans, in Bolivia big decrease and Paraguay, a decrease too because last year was bad but this year is bad again. So Paraguay, it's close to 0. Last year was very negative. We are expecting close to 0 in agriculture in Paraguay. And in corn, some effect, too, we are seeing in Argentina, 14% increase in comparing to last year, 1% in Brazil. Bolivia is not raising in corn this year and 5 tons in Paraguay, very good result in Paraguay related to corn. So we see mixed results related to our agriculture in this year but increasing insight. Related to cattle, very good year, and this is very good news for Argentina. Mainly Argentina, the main -- in cattle, it's only Argentina we are close to 60,000 heads and we are seeing margins for the next 9 months of $7 million, close to 7 million kilograms of production. And this is part of the country that is expanding, and we were -- we can see the evolution of Argentina in the graph in the left that Argentina was at the lowest prices in the real dollar compared to the rest of the region. And today, we are in a comparable price to Uruguay in higher price than Brazil and Paraguay. So Argentina with higher volume, more efficiency, more figures, more productivity, increasing the margin in cattle business, mainly in Argentina and now following in Paraguay too. Related to FyO, our stake in services. Here, we see the evolution of FyO and we are forecasting more than 7 million tons for the year, 6.7% market share of Argentina, very big in EBITDA. This company is really in all the services that we are dealing in a [indiscernible] in credit, in advisory, in specialties. So the company's for sure, the largest broker of Argentina and the function of Brazil is beginning to see some fruits. The first half of the year, we surpassed last year numbers. We are more than doubling this year the numbers of last year. So this service company is not only confirming the size and the evolution in Argentina, but now making its new path in Brazil. So saying that, I gave you some picture of Argentina. I will now introduce Matias Gaivironsky to talk about IRSA investment, where Cresud owns 55% of the stake.
Matias Gaivironsky: Thank you, Alejandro. Good afternoon, everybody. So if we see the results of IRSA during this 9-month period, we achieved a profit of ARS 35 billion compared with a loss last year. If you remember, during the first 6 months, IRSA posted losses. And in this quarter, we revert those losses into profits. Major news about our mall segment, where we can see for the first time in the year, an increase in tenant sales. We increased 13.4% of our tenant sales compared with the previous year, still below when we consider the accumulated 9 months, 4.6% below last year but with a trend that is a recovery. About the office portfolio, we maintained 100% occupancy and similar prices than last year. We saw a drop in the hotel segment because of the new macroeconomic situation of Argentina and prices. We are receiving less inflows of tourism to the country, and that has an impact on occupancy in our hotels. About [indiscernible], we are very happy with the progress of the commercialization. We already signed around 11 transactions and 2 are sales in cash and 9 are swaps agreements where IRSA will receive square meters in the future. And also IRSA has important news about the debt that tapped the international capital market issuing a new note that expiring in 2035. When we see the evolution of the rental adjusted EBITDA, we can see that are similar -- an increase to the previous year but an increase in the shopping mall segment. In fact, we have a record high for the last 10 years in the EBITDA in dollar terms for our mall segment. To the financial results of Cresud. First to stand the figures, it's tough when you compare figures that are the main driver is dollars like in Cresud, when you have to adjust that by inflation. So you have the pesos of last year adjusted by inflation, that really inflates the number of the last year. It's like we have a dollar, similar dollar of 100 -- sorry, 1,800 compared with the current 1,000. Now it's like when we convert the pesos, we are giving a 70% increase in pesos terms to the last year figures. Also, the evolution of the dollar and appreciation of the peso, both in the official exchange rate and the blue chip swap will have an impact when we value the investment properties at fair value. If we move to Page 13, we can see on the line of the operating results of Cresud, what happened, we have a drop, 83% drop. Part of that is explained on what I just said about the dollar and we're expressing pesos of last year, dollars of last year in pesos adjusted by inflation but part related to some drivers that I will mention. So regarding FyO that you can see a drop from ARS 29.8 billion to a loss of ARS 19.9 billion during this year. This is attributable to first of all, some seasonality. Last year, you remember that we have special dollars for farming. So farmers tend to sell in advanced production. So the brokerage activity of FyO that last year was more relevant for that will be compensated in the coming quarters. So the Alejandro mentioned, the forecast of FyO this year is positive. And if we see the net income line of FyO is also positive because part of the revenues or part of the results are recognized below the operating line. About the grains, we have a drop also from last year, ARS 21.6 billion to a loss of ARS 5.4 billion this year. Again, when Alejandro explained drivers on productivity will be positive when we compare with last year. Part of the results will be reverted. Here, we have some effects of valuing stock at the current numbers. Also, the projection at the beginning of the quarter were higher than what really was. So that generated a negative result during this quarter. About the sugarcane line, we see a positive evolution. We have higher prices, higher productivity that part are compensated with higher cost but very positive numbers. The same with cattle. We have a higher production of cattle during the this year compared with the previous year, a 24% increase, also higher prices, much higher than inflation. If we move to the next page, the fair value of our investment properties. This is mainly related to [indiscernible] year. Last year, we have a loss of ARS 588 billion. This year, we still have a loss lower than last year. This is a noncash effect that -- if we analyze values of the properties in dollar terms, we are maintaining the same dollars in offices and land bank and have a higher numbers in the shopping malls. But when we adjust by inflation and convert last year numbers into current numbers, that is why -- the reason why we are posting losses. Finally, the net financial line, we see a positive number, ARS 86.5 billion compared with ARS 145 billion last year, Part of that is related to the net FX result that since we have an appreciation of the peso, all the dollar-denominated debt when we convert into pesos that generated gains and also the fair value of our financial assets that also generate profits. With all these drivers we finished the 9-month period with a gain of ARS 57.9 million compared with the loss of ARS 39.9 billion last year. Well, finally, about the debt, there are no major news here. The net debt remains at [ $300 million ]. There is some mistake there. When you said gross debt, $349 million is net debt. $349.7 million and the debt amortization scale that we have somewhere for the debt that expire in the next years. There was some major news about the grade rating that was an upgrade to AAA for both Cresud and IRSA during February. So with this, we finish the formal presentation. Now we open the line for your questions.
Santiago Donato: Well, now is the time for the Q&A session. [Operator Instructions] Yes, we have the first question, here we have. Well, first question regarding dividends, if you are planning to distribute dividends this exercise.
Matias Gaivironsky: The decision will be taken on October. So our shareholders' meeting will be in October, we have to submit the proposal around September. So it's not decided yet. So I can't comment any more about that.
Santiago Donato: Good. Here a question regarding the sub-transactions at IRSA, if we can give a little bit more color on how it works. And what is the motivation for doing swap instead of developing?
Matias Gaivironsky: We entered in all the details about Ramblas in the webcast of IRSA. So we -- if you want to enter more deep analysis about that, there is recorded and is public in our website of IRSA. The motivation, just to comment to second, about the motivation is to give speed to the project. So we are giving land to the developers, the development will develop and pay us with square meters in the future. So it's a way for you to develop the project, give speed and became a relevant neighborhood in the city without investing our own money. So that is the main philosophy behind the strategy but you can answer much more details in the presentation of IRSA or contact Santi for more information.
Santiago Donato: Sure. Yes, there is a question regarding investment in IRSA and what is Cresud long-term intention with this ownership?
Alejandro Elsztain: It's a controlling shareholder, and we are not imagining any big changes days. So -- but really I don't know what he has to say.
Matias Gaivironsky: No. If you realize, we invested more money in IRSA when IRSA did the capital increase in 2021 and also, we did some acquisitions in the market. So we like the position that we have, and I think we have some complements between the agriculture activity and the activity of IRSA and there are some hedge between the 2.
Alejandro Elsztain: These days, it's much better environment at the urban where the yield EBITDA and the farms are in tougher because drop of prices, the rebound probably is coming and maybe this is changing. We don't know, but really it's the biggest asset of Cresud in size, for sure. And so it's relevant for Cresud for sure. But we're not thinking of any big change in these days.
Santiago Donato: Here a question regarding FyO or the results of negative of FyO. We can explain a little bit more. And if we can expect a dividend policy for the coming years, I imagine Cresud now in general.
Alejandro Elsztain: And related to the EBITDA of FyO is very good, and Matias will explain the operational and the financial part of the balance sheet. But the real budget control of the company, it's generating a very profitable EBITDA. To give you a gross number, it's a $15 million EBITDA for the year that the company is expecting. So really is very -- in a very good shape and surpassing 7 million tons, it's the largest of the country, for sure, like a broker. And the brokerage is not only outputs but in inputs in fertilizers, in herbicides, in consultancy. So the company intends to help farmers after production, not inside the farm but when the farming -- the output, it's ready, helps the farmer to close the futures in Argentina and abroad. So the company is helping the servicing farmers in a much bigger volume than Cresud, no? Cresud was big at the beginning but not today. It's not irrelevant, but close to the relevant the volume of Cresud. And in Brazil, is coping the model and not arriving to the 1 million tons still but we expect to pass that. So -- but in the balance sheet, the Matias is going to explain what affected, and it's the main difference of the year in the profit -- in the operational profit of the year.
Matias Gaivironsky: Yes. Well, there's some effects. The first one is when we took the last year results, as I mentioned, if we have to reexpress an activity that is dollar-denominated into pesos and then those pesos adjusted by inflation, those pesos to the current numbers that give you like a sense that the number of last year is much higher than what really was. About  this year and also there is some seasonality that last year because of the government gave special dollars for farmers trying to incentivize that they liquidate the grains and receive dollars. People tend to anticipate transactions and then generate more revenues at this moment of the year than in the current year. Also, when we analyze the balance sheet or the financial statement of FyO, the activity of FyO sometimes they acquire the products from the farmers and do derivatives transactions that the result of the derivative transaction is in the financial line. So sometimes you see the loss -- or less profit in the revenues or net of the operating results but that will be compensated by derivatives that are below the line. So at the end of the year, as Alejandro showed in the presentation, we are anticipating or projecting more volume for this year compared with the previous year, and prices are at higher prices than the previous year. So at the end of the year, in the next quarter, we should see positive numbers.
Santiago Donato: Good. Here, we have some questions regarding real estate, farming real estate, given the ongoing policy changes in Argentina and financial stabilization, Are You seeing any meaningful improvement in farmland prices? And do you intend to increase your pace of net investments in farmland in the country? And there is another one that is, do you plan to buy farmland in Argentina? Or do you see better investment opportunities through BrasilAgro in Brazil?
Alejandro Elsztain: It's relevant what the government is doing related to agriculture. There are some critics  that they didn't took -- they didn't take the taxes on exports still, they made a small reduction. Today, on the 30th of June, there is a maybe a threat of coming back to the price to the taxes they were before. So coming back from the 26% of soybean to 33%. But still, the government insists that it's going to reduce. And he still talks about finishing directly taxes and experts, understanding that damage a lot the agribusiness and it's true. But meantime, the announcement of the only $1 or close to $1 that I think this is the biggest macro now for Argentina. And I think -- that is going to explain why I'm so optimistic on the price of the land of Argentina. Argentina is connected to the price of the core belt of U.S. that is the big correlation. In 2012, 2013 and stayed almost at the same at the $12,000, $13,000, $14,000, $15,000, the hectare of the corn belt. These days, we see some rebound in Argentina. They are speaking about 10%, 20%, beginning to increase the price of the land. But regard to the price of the U.S. all to Brazil is huge. So there is a big chance of that to reduce in the future. So I think there is a drop or a small drop in the price of the land of U.S. and Brazil, comparing to an increase because of the Argentine measures. So I'm optimistic, and we think that we are going to buy some new pieces in Argentina. We have a big portion in Argentina. So the biggest portfolio of land that we have inside of Argentina, we expect that to reevaluate but we think we are going to be buying some assets in Argentina these days, to because of these macro situations. Related to Brazil, yes, we are looking for opportunities, mainly in debt situations, forced to sell but the price of the land went very much up. So the opportunities in Brazil needs to appear because of some crisis. In general, prices are high. So in these prices, you don't find -- you don't see any rebound as we see in Argentina that is probably more possible.
Santiago Donato: Two more on the financial front. If you sell farms, how would you use that? So capital allocation, would you buy back shares, you could invest into new farms paying dividends, if you can give a little bit of color on capital allocation at Cresud.
Alejandro Elsztain: I know that [indiscernible] making the question for you, all of the rest. I think I'll complete it all of that rest. Depending on the situation, we are trying to swap funds that they are mature and to buy in advance that we think have a very big room to appreciate. And the shares, as always, the share that it's very cheap compared to net asset value we buy. And every time we plan, we launched a new plan and buy back shares or buying other shares. So reducing debt and increase in irrigation, we are thinking. In the case of cattle, we are trying to rotate more in the feedlot time that it's more profitable and reducing the raising cattle time that is more long and less profitable. So selling, maybe raising and doing more fattening at the end on farms or feedlots. So yes, rotating the land to make profitable basics in agriculture, you need to keep rotating. You have to give to the market what is really looking and to buy what everyone is hating and to put it in production again, and make, as we always look for a more than 10% yield in the combination of the real estate, operational and service as we are.
Santiago Donato: Good. I will go with the last one. How do you expect to deal with the $200 million maturity next year? Do you plan to tap the local capital market, the international capital markets?
Matias Gaivironsky: What we have been doing in the last 6 months is taking advantage that there is more liquid in dollar terms in Argentina. There are new credit lines from banks refinancing of export that is for short term. So probably when you see -- why we have the short-term debt so high, we increased that part because it's efficient in terms of cost. But then, yes, typically, we finance our operations. And when you see the debt structure is a combination between the bank debt and the capital market. The international capital market, probably you need more size to go. What we learned from IRSA is that investors want at least $300 million size and Cresud, they don't need -- we don't need the $300 million. So probably it will be more in the local market than in the international capital market.
Santiago Donato: With this, I think we...
Matias Gaivironsky: I'm sorry -- and also something important is the warrant. We have a warrant outstanding that expire in February last -- next year. No Cresud is February, next year. And Cresud will receive that warrant is steep in the money. So we -- it's very likely that we will receive proceeds from the warrant considering the warrant of Cresud and the warrant of IRSA that Cresud has, probably Cresud will receive around $27 million inflow in that moment.
Santiago Donato: Perfect. With this, we finish the presentation and the Q&A. Thank you for joining. I will now turn back to Alejandro for his final remarks.
Alejandro Elsztain: We are waiting for the last quarter. There, we're going to close the same rains, soybean and corn, some cotton. And we have a very good position in the region in the 4 countries, and we are very optimistic on the sector. And after this news of this weekend, the trading normalization is really relevant. We need economies to keep growing and every growth goes to better food consumption to the population that's keeping growing. So we are optimistic on the basis for the next quarter and for the longer term. So thank you very much, and we see you on October -- September, October, closing the annual balance sheet. Thanks a lot.